Operator: Good morning and welcome to the Plexus Corp Conference Call, regarding its Fiscal Second Quarter 2022 Earnings Announcement. My name is Abigail, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. After a brief discussion by management, we will open the conference call for questions. The conference call is scheduled to last approximately one hour. Please note that this conference is being recorded. I would now like to turn the call over to Mr. Shawn Harrison, Plexus, Vice President of Communications, and Investor Relations. Shawn.
Shawn Harrison: Good morning and thank you, everyone for joining us today. Some of the statements made and information provided during our call today will be forward-looking statements, including without limitation, those regarding revenue, gross margin, selling, and administrative expense, operating margin, other income and expense, taxes, cash cycle, capital allocation future business outlook, and the impact of COVID-19 on the Company's business and the results of operations.  Forward-looking statements are not guaranteeing since are inherent difficulties in predicting future results and actual results could differ materially from those expressed or implied in the forward-looking statements. For a list of factors that could cause actual results to differ materially from those discussed. Please refer to the company's periodic sec filings, particularly the risk factors in our Form 10-K filing for the fiscal year ended October second, 2021, as supplemented by our Form 10-Q filings and the safe harbor and fair disclosure statement in yesterday's press release.  We encourage participants on the call this morning to access the live webcast and supporting materials at Plexus website at www.plexus.com, clicking on Investors at the top of that page. Joining me today are Todd Kelsey, Chief Executive Officer, Steve Frisch, President and Chief Strategy Officer. And Pat Jermain, Executive Vice President and Chief Financial Officer. Consistent with prior earnings calls, Todd, will provide summary comments before turning the call over to Steve and Pat Further details. Let me now turn it over to turn the call over to Todd Kelsey. Todd.
Todd Kelsey: Thank you, Shawn. Good morning, everyone. Please advance to Slide 3. We achieved fiscal second quarter revenue of $889 million, a result that exceeded our guidance range of $820 million to $860 million. Our Industrial and Healthcare & Life Sciences sectors exceeded our expectations entering the quarter as our supply chain team was successful in resolving more constrained materials than anticipated. Our Aerospace and Defense sector met expectations of strong growth as we benefited from the early recovery of commercial aerospace demand.  We delivered GAAP operating margin of 4%, finishing at the high end of our guidance range. This result was achieved despite higher than anticipated labor inefficiency due to the impact of COVID-19 Omicron variant in Malaysia, increased variable incentive compensation costs due to the strong revenue result, and the impact from procuring certain components at above-market prices. The combination of strong revenue and operating margin led to GAAP diluted earnings per share of $0.95, exceeding our guidance range of $0.76 to $0.92.  The EPS result included $0.21 of stock-based compensation expense. Our strong execution and markets that feature highly complex products and demanding regulatory environments directly led to another exceptional quarter of new business wins. Our manufacturing and aftermarket services wins totaled $313 million, which was nearly an all-time record in our best quarterly result in a decade. The wins result included a significant new program representing market share gain with an existing semi-cap customer and expansion of an aftermarket services engagement with a major healthcare company.  This exceptional performance propelled our trailing four-quarter wins to another record high of more than $1.1 billion. In addition to the strong wins, our funnel of qualified manufacturing opportunities expanded to a record level of $3.4 billion. Lastly, new engineering engagements were robust for the second consecutive quarter, which combined with the momentum in manufacturing wins and qualified opportunities, supports our 9% to 12% revenue CAGR goal. Our customers continue to value our differentiated offering in engineering and aftermarket services supporting the circular economy in their sustainability needs. The end result is exceptional wins and an expanding funnel. Please advance to Slide 4. As we look to the third quarter of fiscal 2022, customer demand remains strong across all market sectors. While the supply chain appears to have stabilized, it remains constrained and is limiting our ability to meet broad customer demand upside. Yet we are benefiting from the impact of a small number of significant and rapid new program ramps with pipeline supply. As a result, we are expecting further sequential revenue growth at the midpoint and are establishing a revenue guidance range of $885 to $925 million.  This guidance includes our estimate of supply chain impacts due to COVID-19 lockdowns in Shanghai, China. With the increased revenue, we anticipate further positive leverage of our operating infrastructure, that can currently support over $1 billion in quarterly demand. And are anticipating GAAP operating margin in the range of 4.4% to 4.9%, including approximately 65 basis points of stock-based compensation expense. At these revenue and operating margin levels, we expect to deliver GAAP diluted earnings per share of $1.02 to $1.18, including $0.21 of stock-based compensation expense.  Our guidance assumes supply chain constraints and COVID-19 do not materially impact end markets or our operations beyond current expectations. In support of the strong growth potential represented by our funnel of opportunities, our latest site in Bangkok, Thailand continues to progress according to plan. The first assembly line was recently installed. We complete qualification builds in the fiscal third quarter and production will commence in the fiscal fourth quarter. We have multiple existing programs planned to transition into the site from our Penang campus, as well as a substantial new piece of business that will launch directly into the site.  We expect the site to be the first of multiple in Thailand as we further our campus strategy and create a platform to support future growth, in our APAC region. Next, a few thoughts regarding our longer-term outlook. I'm encouraged by the accelerating momentum demonstrated by our Fiscal second quarter results. We now see the potential to deliver quarterly sequential revenue growth, through Fiscal 2022 and into fiscal 2023. While expanding GAAP operating margin, and EPS. Looking at our end markets, we continue to see strong demand over the next several quarters.  Within Healthcare Life Sciences, we have several major program ramps underway. With pipeline component supply, these programs should continue to favorably impact the remainder of fiscal 2022 and into 2023. Our Industrial sector demand is very strong, led by semi-cap and communications. While supply is challenged, we continue to make progress as reflected in our fiscal second quarter results through a multi-quarter effort focused on attacking component availability issues, enhanced by leveraging customer partnerships to secure supply.  Finally, within Aerospace and Defense, we see a strengthening of demand in commercial aerospace led by single aisle jets, business jets, and aftermarket needs. These positive market factors when combined with robust new program wins in manufacturing, aftermarket services and engineering, as well as a record funnel of qualified opportunities, supports our optimism and our ability to make progress toward our $5 billion revenue target. In addition, we remain committed to delivering upon our goals of 9% to 12% revenue CAGR, with 5.5% GAAP operating margin and 15% return on invested capital over the long term. I will now turn the call over to Steve for additional analysis of the performance of our market sectors and operations. Steve.
Steven Frisch: Thank you, Todd. Good morning. I will start on Slide 5 with a review of our performance by market sector for the fiscal second quarter, as well as our expectations for the market sectors for the third quarter of fiscal 2022. Starting with our Industrial sector, fiscal second quarter revenue grew 14%. The exceptional result was significantly above our expectations of a mid-single digit increase as our supply chain team cleared material shortages within the quarter. Looking at the remainder of fiscal 2022, demand remains robust across our Industrial sector.  Although material constraints are still limiting our ability to capture our customers full demand, we expect to secure supply at or above levels of the fiscal second quarter. As a result, we expect a flat to low single digit increases in our Industrial sector for the fiscal third quarter. Our Healthcare & Life Sciences sector had solid results for the fiscal second quarter. In addition to higher levels of manufacturing output from the clearing of material shortages, our engineering solutions team exceeded revenue projections in the quarter. Instead of a low single-digit decrease, the Healthcare & Life Sciences sector grew revenue 3%.  We add to remainder of fiscal 2022 for our Healthcare & Life Sciences sector. We expect that new program ramps will continue to support sequential growth. For the fiscal third quarter, we anticipate these new programs will result in a mid-single-digit increase. Our Aerospace and Defense sector delivered to their strong projections of a low double-digit increase by achieving growth of 11% in the fiscal second quarter. Leveraging the efforts of our team and that of our customers supply chain teams, we were able to acquire the materials needed to achieve our productions.  Looking at the second half of fiscal 2022, we continue to see strong forecast for commercial, military, and private aerospace products. However, material availability continues to be the gate for our production teams and is limiting our ability to capture the demand above our current levels. The result is that we expect a flat to low single-digit revenue increase in our Aerospace and Defense sector for the fiscal third quarter. Please advance to Slide 6 for an overview of our win’s performance for the fiscal second quarter. We won 38 new manufacturing programs that we expect to generate $313 million in annualized revenue when fully ramped into production.  The exceptional wins result was a few million dollars short from an all-time record. However, our trailing four-quarter wins of more than $1.1 billion was a new record. As a result, our wins [indiscernible], which is defined as the trailing four-quarter of wins divided by the trailing four-quarters of revenue climbed to 33%, which is well above our 25% goal and supports our target of a 9% to 12% revenue CAGR. Finally, one of the best measures of customer satisfaction is repeat business. With 36 of 38 of the wins coming from existing customers, our teams are being rewarded with expanded market share across their customer base.  Next, we can review a few sector and regional highlights of the manufacturing wins for the fiscal second quarter on Slide 7. The industrial sector heading exceptional quarter of manufacturing wins of $221 million. Almost 70% of industrial wins are targeted for the APAC region, including for our new facility in Bangkok, Thailand. In addition to the strong industrial wins, the $222 million of wins for the APAC region, also benefited from robust wins from the Healthcare Life Sciences, in aerospace and defense sectors. Going forward, we are seeing the return of customer visits to Southeast Asia with our enhanced footprint in APAC, regional team's ability to continue deliver for our customers, in spite of the many challenges these past few years.  We are optimistic about the ability to accelerate growth in the region. Advance to Slide eight for highlights of the Fiscal second quarter wins. The industrial wins include a high-performance platform used in the production of semiconductor wafers. We expect this program to ramp into our new facility in Thailand in early Fiscal '23. Industrial team also added a cable access product that serves networks that use a distributed architecture.  The product will be manufactured our facility in Guadalajara Mexico. Our Healthcare Life Sciences team won the manufacturing our family of devices used in contrast those management, for advanced imaging applications. The products from this new logo will be manufactured in our Penang, Malaysia campus. The team also completed a large aftermarket services agreement with an existing customer. The program will start in the Americas region what we expect to established service and repair capabilities in all three regions.  Finally, the Healthcare Life Sciences team won a significant ultrasound system from an existing customer. The award of this program represents a meaningful market share gain for the team. Including the Aerospace Defense wins is the expansion of our relationship with an aerospace customer. We won the production of an advanced cockpit life support system, that we plan to manufacture in Penang, Malaysia. We can proceed to Slide nine for highlights of our funnel of qualified manufacturing opportunities.  Market sector teams grew the funnel to a record $3.4 billion in the fiscal second quarter. Expansion was led by our Healthcare Life Sciences team, whose funnel alone is approaching $2 billion. One example of team's success as the addition of a meaningful Wi - Fi ins of opportunity for the full manufacturing of an automated biochemistry analyzer for use in Medical Laboratories. I would like to finish with an overview of one of our ESG initiatives on Slide ten, this initiative as part of our executive incentive compensation program for the environmental towler of ESG.  This focused on the reduction of our electricity consumption across the globe. At the start of fiscal 2022, we set a goal for each manufacturing location to reduce their electricity usage by at least 5% in fiscal 2022 as compared to fiscal 2020. One of the challenges with electricity reduction efforts can be establishing the true baseline of consumption in the first half of fiscal 2022, we completed a project to install sub metering technology and all of our large manufacturing facilities.  With this technology, each facility can monitor electricity consumption for specific functions like heating and cooling for a subset of manufacturing equipment each site is implementing specific plans to achieve this goal within the fiscal year and all locations are on track to meet or exceed the objective of at least a 5% reduction. The exciting part is that our efforts in fiscal 2022 are only the beginning. With this technology and the sharing of best practices across the enterprise, our efforts to reduce our electricity consumption and our impact on the environment will continue for many years to come. I will now turn the call to Pat for an in-depth review of our financial performance. Pat.
Patrick Jermain: Thank you, Steven. Good morning, everyone. Our fiscal second quarter results are summarized on Slide 11. Gross margin of 8.6% was at the high-end of our guidance due to improved fixed cost leverage from the stronger revenue performance. Gross margin was consistent with the fiscal first-quarter, despite headwinds from seasonal compensation cost increases, and the reset of payroll taxes for U.S. employees. Selling and administrative expense of $40.7 million was above guidance primarily due to additional variable incentive compensation expense, linked to the higher revenue for the quarter.  As a percentage of revenue SG&A was 4.6%, which was consistent with expectations in the fiscal first-quarter. The result was a GAAP operating margin of 4%, which was at the top end of our guidance, inclusive of approximately 70 basis points of stock-based compensation expense. Non-operating expenses were slightly above expectations primarily due to higher factoring expenses. GAAP diluted EPS of $0.95 was above our guidance due to the stronger revenue performance. Turning to our cash flow and balance sheet on Slide 12.  For the fiscal second quarter, we were extremely pleased with our free cash flow performance. We delivered $84 million in cash from operations and spent $31 million on capital expenditures generating free cash flow of $53 million. This result was double our net income and exceeded expectations. During the quarter, we were aggressive with our share repurchase program. We repurchased approximately 306,000 shares of our stock, or 1% of our shares outstanding for $25 million. At the end of the fiscal second quarter, we had approximately $12 million remaining under our current authorization. Later this fiscal year, we will review with our Board of Directors the opportunity for a new authorization. Our quarter-end balance sheet included cash of $309 million, sequentially higher by $90 million due in part to the strong cash flow generation. Total balance sheet debt was $408 million, while net debt was approximately $100 million. We had a $138 million available to borrow under our $350 million revolving credit facility. Cash cycle at the end of the fiscal second quarter was 98 days, favorable to our expectation and sequentially lower by five days.  We benefited from increased revenue and the continued progress on working capital initiatives. Please turn to Slide 13 for details on our cash cycle. Sequentially, inventory days increased by nine. The steady increase in days over the past several quarters reflects the well understood supply chain challenges along with the need to support new program ramps, which are anticipated to drive higher revenue in the second half of the fiscal year. Substantially offsetting the increase in inventory days was an increase in customer deposit days.  Customer deposits increased almost $100 million, while days improved by eight as we partnered with customers to share in inventory investments. We have over 25% of our inventory covered with deposits. This compares to less than 15% three years ago. Days in receivable sequentially improved by seven days primarily due to the timing of payments and increased activity under our receivables factoring program. As Todd, has already provided the revenue and EPS guidance for the fiscal third quarter, I'll review some additional details which are summarized on Slide 14.  Fiscal third quarter gross margin is expected to be in the range of 8.9 to 9.3%. At the midpoint gross margin would be approximately 50 basis points higher than the fiscal second quarter. Improved productivity across all of our regions, and better leverage of fixed costs are contributing to the anticipated improvement. We expect some continued near-term pressure on gross margin as we maintain the infrastructure necessary to support anticipated demand not yet matched by available supply. We expect selling and administrative expenses in the range of $40 million to $41 million, fairly consistent with fiscal second quarter.  Our expectation for the balance sheet is that working capital investments will increase compared to the fiscal second quarter. Based on our revenue forecast, we expect this level of working capital will result in cash cycle days of 100 to 104 days. Sequentially, an increase of four days primarily due to additional inventory investments. While we anticipate a use of cash to support working capital investments during the fiscal third quarter, we expect to generate offsetting positive free cash flow during the fiscal fourth quarter.  Finally, capital spending for fiscal 2022 is expected to be in the range of $110 million to $130 million, which includes approximately $45 million for our new Thailand facility. With that, Abigail, let's now open the call for questions.
Operator: Thank you. [Operator Instructions]. And our first question comes from the line of Jim Ricchiuti with Needham, your line is open.
James Ricchiuti: Thank you. Good morning. I wanted to focus a little bit on the Industrial market. First, what are you seeing in the semi-cap market in terms of the visibility extending beyond what you were seeing, say six months or so ago. And I'm wondering if the supply chain challenges in that market perhaps are contributing to the moderating growth for the Industrial vertical in the quarter or is this just a timing issue in the broader Industrial category.
Steven Frisch: Yeah, this is Steve, for us, customer demand remains strong and I would say that if anything, the duration of the strength continues to stretch out. I think lots of people were talking about what does it look like in the back half of 2022. For us and our customers, we see the strength continuing through '22 and into '23. I think it's been muted a bit, the ability to deliver, by supply chain constraints, but those customers by far are probably the ones being most aggressive and continuing to drive inventory as the projections and the belief is that the strength is going to continue for quite some time here.
James Ricchiuti: Got it. And I think you alluded to some new product ramps that potentially a ramping faster and I'm wondering if you could provide some color on that. Is this -- is this catch-up or are you seeing any kind of changes in customer behavior or actually just none of the above and just some one-off the isolated cases?
Todd Kelsey: And these are Jim -- and this is Todd -- these are planned new product ramps. And there's a small number of very substantial ones that are -- that are all kind of lining up together. And they'd been planned for some time, so we're in a situation where the materials have been pipelined for a year plus on these programs. So, we're in really good shape from a material standpoint. They're getting to the -- or they've gotten to the end of the design phase and are in the production ramp phase and they're major, so they're ramping and having a meaningful impact on revenue. And we kind of think of them as having about a combined impact of about anywhere from $25 to $50 million per quarter of incremental revenue. So, they're substantial when they -- as they line up.
James Ricchiuti: Any color, Todd, on the type of products or programs we might be talking about.
Todd Kelsey: Well, there's -- the impact, all three of our sectors, I would say it's dominated within the Healthcare sector. So, you will see a meaningful jump in our Healthcare revenue as we move through the next several quarters and that will be directly reflective of these major program ramps.
James Ricchiuti: Clear. I'll jump back in the queue. Thank you.
Operator: Thank you. Our next question comes from the line of Steven Fox with Fox advisors. Your line is open.
Steven Fox: Hi, can you hear me.
Todd Kelsey: Yes.
Steven Fox: Hey, good morning. Two questions from me if I could. First on the inventory balances. I mean, these are year-over-year, these are big numbers even if I subtract out the deposit days, which as you pointed out, have doubled. How much cash would you say you're tying up abnormally for holding all these inventories. I understand that's its purpose [indiscernible], but it is a substantial amount. And then how do you envision getting these inventories being a year from now, even like are you still going to be holding these types of levels. And then I'll add a follow-up.
Todd Kelsey: Pat, I can help you out there. From the standpoint if tying up cash, when I look at Steve, where we were last year with our revolver, which was no utilization of it. Now we're around 200 million, a lot of that is related to inventory needs. And fortunate for us, we've got a lot of available liquidity and cash to support our customers. So that's what we're doing in the near-term. And as you referenced, our deposits are offsetting 25% of that gross inventory. From a standpoint where I see the balance going.  I do think we're at a high point. I don't see it coming down significantly over the next couple of quarters. I see it staying pretty similar to where I'm forecasting it to be for the fiscal third quarter. I think with the added revenue that we expect in the back half of the year and going into 23, we'll start to see the balances coming down and especially from an inventory days perspective, we'll see our days improving over the next three to four quarters.  One thing that I'd add on this, Steve, is that there's active initiatives in place to work with our customers around forecasting and planning in light of the current supply environment. So, it's not like we're, we're back here guessing or hoping that the inventory goes down. There's activity that's underway that is already well in place. So, you see it takes a little bit of time for these to start to roll the inventory over and get to the right levels and review this as a bit of a high watermark for days. The current quarter that we're ending will start to see those come down through these efforts.
Steven Fox: Great. That's helpful. And then just thinking about the comment that you guys can grow consistently quarter-after-quarter into next fiscal year. There's a lot of subpar economic news out of like the U.S. this morning and Germany, etc. Like where -- how much economic sensitivity do you see in some of these new programs? A lot of the earnings calls this week when it comes to sort of CapEx intensive programs or business, seem to be sort of business as usual, despite everything that's going on in the world. I was wondering how you would sort of gauge the risk reward on that statement. Thanks.
Patrick Jermain: Yeah. The new programs are relatively insensitive, I believe to changes in the economic environment right now. There are areas where there's significant pent-up demand for these new products. So, the market is very strong at this point and it's just a matter of effectively ramping at this point with these programs in particular. But certainly, there is a lot of economic news coming out and we keep a close eye on it as well too as we consider our thoughts and our comments.
Steven Fox: I appreciate that. Thank you.
Operator: Thank you. Our next question comes from Matt Sheerin with Stifel. Your line is open.
Matthew Sheerin: Yes. Thanks, and good morning, everyone. Just another question on the supply environment. You've certainly had nice upside after two quarters of missing due to the supply constraints. You did build the inventory ahead of that, but are there any other reasons, are you seeing supply loosen at all? Doesn't sound like that's happening based on what peers are saying. Is it execution? And how much have you still left on the table in terms of revenue or missed revenue opportunity either in the March quarter or the June quarter?
Steven Frisch: Yes, Matt. This is Steve. I'll take a crack at this one. In terms of the supply itself, I would say we see it as being more stable, but still very constrained, and so by that it's been more predictable for us. We know where the shortages are, so we work them. I think one thing we've gotten better at is cooperation with our customers and the customer supply chain teams, especially like in aerospace. With regular weekly calls and splitting up a shortage list, dividing and conquering, we're much more efficient at driving the shortages.  And so that's been working better. In terms of what are we leaving on the table, we do believe in the neighborhood of $100 million of additional demand would set out there for us if we could procure the materials for it. So, it goes back to the economic discussion. I mean, even if things softened up a little bit on the demand end, we're still far from being able to deliver everything that's available to us, and so that's what gives a little bit optimism as we look to the back half of the year here yet.
Matthew Sheerin: Okay, thanks for that. And then just a question regarding the inflationary pressures that you're seeing, and obviously we've seen component prices across-the-board go up, logistics cost. Your margins are going up, so it sounds like that's a pass-through to your customers, but at some point, that's going to put pressure on their margins, right. And so, the question is, is that a concern. Are you working with customers on that? And then how much of that ASP increases is reflected in your revenue growth. In other words, units versus the pass-through of components.
Steven Frisch: I can start with that, Matt. There is an impact that we've seen. I wouldn't to say it's been that significant for our margins, but there is a certain amount that we're paying above previous component pricing that does not necessarily have margin linked to it. And that could be a few percentage, 2% to 3% of our revenue that does not have that margin at this point. And we are working with our customers. It is a pass-through for us, but we're working with our customers to manage that pricing.
Matthew Sheerin: Okay. In terms of how that's impacted your own sales in inventory because inventory is up on the higher pricing and not just on units, right? So, can you help us quantify that?
Steven Frisch: I that I mean, it's probably again 3% to 4% of our inventory value would be inflated because of higher prices that we've seen recently.
Matthew Sheerin: Okay.
Steven Frisch: Okay.
Matthew Sheerin: Okay, thanks a lot.
Patrick Jermain: Sure.
Operator: Our next question comes from the line of Melissa Fairbanks with Raymond James. Your line is open.
Melissa Fairbanks: Hi, guys. Thanks very much. Great quarter and guide. Last quarter or maybe it was when we met with you in March, you had suggested that with some improved sourcing, you could drive between $25 million and $50 million in incremental revenue each quarter this year. It looks like you've outperformed that pretty significantly in 2Q but the 3Q outlet is maybe a little short of that. Is that just due to timing of the shipments? Maybe a little bit pulls forward into the March quarter or how should we be thinking about going forward?
Todd Kelsey: I think there's a couple of things one is just a more difficult comparison because the Q2 was so strong. I mean, if we delivered more towards the high-end of the guidance even, the number we'd be talking about would be on the high end of this $25 to $50 million. The other thing that's factored into our guide though too. I mean, I think we could have and could maybe still hit those levels is around the Shanghai lockdowns that are there. So, we have about on the order of $15 to $20 million factored in of impact. And that's supply chain because of course we don't have a site that's impacted at all, but its supply chain impact flowing through the APAC region due to lockdowns in Shanghai right now.
Melissa Fairbanks: Okay, perfect. Thanks. Thanks so much. That's all for me for now.
Todd Kelsey: Thanks, Melissa.
Operator: Thank you. Our next question comes from the line of Paul Cheng with JPMorgan. Your line is open.
Paul Cheng: Hi. Thanks for taking my questions. So just to expand on the record wins this quarter. You mentioned existing customers driving most of the wins. Is this more structural move from in-house manufacturing or is this kind of incremental business or market share wins from competitors. And then if you could talk about how the firm navigated the surge and positive cases in Malaysia so well. I have potential customers kind of taking notice here. Are you having more discussions with new logos as a result? And I have follow-up.
Steven Frisch: Sure. In terms of the wins, I think it's pretty well balanced between new program ramps, market share gains, and then customers basically looking at outsourcing their internal manufacturing. And so, for me, we're benefiting from all three areas. I would say looking at the funnel with the [indiscernible] markets that we're going after in terms of warehouse and automation and surgical robots in those areas, the program sizes are increasing, and that's due to really the size of what they're asking us to do. They're asking us to do their whole systems.  And so, for us we feel pretty good about the strategy that we have and the way the wins are flowing through, and I think you saw at this quarter with a couple of larger opportunities. As I look to the future, I would see that continuing in terms of that mix of opportunities. We still are interested in new logos. We put a pretty significant effort on it last year in '21 to go add some new customers, and we were able to achieve that. This year we're still introducing new logos, but maybe not as aggressively as what we did previous years. So, I think the teams are executing our strategies quite effectively.
Todd Kelsey: And that address Paul, the question about Malaysia and how we've handled the COVID surge in Malaysia. And that has had an impact in wins and in share gain. And then I'd like to maybe just give a little more color around that. I mean, during -- at various points in the quarter with the Omicron surge, we had as much as 15% of our workforce out at any given time and our team in Malaysia was able to manage through that and beat their quarterly commitments. So, it was really just I would say tremendous performance and it was -- there was an impact nearly the whole quarter long from absences due to COVID.
Paul Cheng: Great job there. And then Pat just on operating margins, nice rebound here sequentially in into the kind of next quarter with the Thailand facility ramping. Do you expect some pressures on margins next couple of quarters? What's your expectation for when we can rebound back to your long-term targets of 5.5? And then on free cash flow, you mentioned positive for second half, some offset in 4Q for 3Q usage. Are we still breakeven for the year?
Steven Frisch: Yeah. I can start with Thailand. Paul, I don't think the impact's going to be that significant for a few reasons. We're ramping business in there pretty quickly. So, I think we'll get to corporate profitability over a few quarter periods. We're also using the campus environment we've used in other areas where we're utilizing the Penang team quite a bit to startup that facility so not really that significant of an impact on operating margin and I think over the next two to three quarters there's as we're ramping there and generating revenue we'll start to approach corporate averages. From a cash flow perspective, I do think I mentioned Q3 will be an investment we'll offset that in Q4. For the full year, I think anywhere to break even to an investment. If you look at where we were for the first six months, we were at about a usage of cash of $60 to $70 million. So, I think we will see some investments still for the full year, but it may be a bit lower than the first six months number.
Todd Kelsey: The one thing I'd add to your question there, Paul, you asked about ramp back to 5.5% operating margin. And that's really revenue dependent. So, we've got this structure in place to service the demand that's north of a $1 billion right now. And as we hit those levels, which is over the next couple of quarters, few quarters. That's as -- that's the ramp that we should see it back into the 5's.
Steven Frisch: And we've factored in the Thailand startup into that margin goal.
Paul Cheng: Okay, great. And lastly, on kind of CapEx forecast for next year is the bulk of the spend done and then we revert back to maybe 2021 levels. And maybe you get working cap, some harvest there after heavy investments this year and last year. So maybe we see free cash flow normalize a bit here in '23. Is that the right way you think about it? Thank you.
Todd Kelsey: It is Paul. Now whether we get back to F21 levels of CapEx, that was a pretty low year for us. It's probably in between the '21 and '22 levels, but I do see improvement -- quite a bit of improvement in our free cash flow for '23.
Paul Cheng: Great. Thank you.
Operator: Thank you. Our next question comes from the line of James Ricchiuti with Needham. Your line is open.
James Ricchiuti: Just wanted to go back to the comment you made earlier about the roughly a 100 million of additional demand that you've left out there. As a result of some of the supply chain challenges. I wonder if you could remind me, what did that number look like for the December quarter and how do you see that changing? Looking out to the June quarter just with some of the supply chain initiatives you have underway, including. Obviously, the investment in inventories?
Patrick Jermain: Yeah, it was pretty similar in the December quarter, Jim. Right around a $100 million. Right now, it still appears that over the next few quarters we're going to continue to roll large amounts of demand forward on a quarter-over-quarter basis.
James Ricchiuti: Got it and last question from me is the slide that you show, manufacturing wins. You characterize the industrial wins as exceptional and it certainly looks like a large number and I'm wondering if there's -- if you might be able to provide some color on that either in terms of applications, it sounds like there's a fair amount with existing customers but do these have the potential to move the revenue needle as they begin to scale over the next year or so?
Patrick Jermain: Yeah, I mean, similar to that dialogue that Todd had about the ramps that are in Healthcare Life Sciences. If you go back to fiscal '21 and you look at some of the Healthcare wins, those ramps are really the benefits of those wins in '21. So as I look at these strong industrial wins in '22, it is our expectation that as we go into '23, these will ramp and add meaningful revenue to the corporation and so that I believe is a fair assessment and kind of the way that we look at it. In terms of the mix, there's a nice, healthy wins across the sector. Obviously, semi-cap has been strong for us as we've talked about in the past. Historically, warehouse management has been good for us as well. So, I think we're benefiting quite well from just good efforts across all of the subsectors within that industrial sector.
James Ricchiuti: Alright. Thank you. Congrats on the quarter, by the way.
Todd Kelsey: Thanks, Jim.
Patrick Jermain: Thanks, Jim.
Operator: Thank you. [Operator Instructions]. I'm showing no further questions at this time. I would now like to turn the conference back to Todd Kelsey.
Todd Kelsey: Alright. Thank you, Abigail. And I'd like to thank everybody who joined our call today. We certainly appreciate your support and your interest in Plexus and have a very nice day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.